Operator: Good afternoon. Thank you for joining Tetragon’s 2020 Annual Report Investor Call. You are all in listen-only mode. The call will be accompanied by a live presentation which can be viewed online by registering at the link provided in the Company’s conference call press release. This press release can be found on the homepage of the Company’s websites www.tetragoninv.com. In addition, questions can be submitted online while watching the presentation. And as a reminder, this call is being recorded. I will now turn you over to Paddy Dear to commence the presentation.
Paddy Dear: Good morning and good afternoon. As one of the Principals and Founders of the Investment Manager of Tetragon Financial Group Limited, I would like to welcome you to our investor call, where we will focus on the Company’s 2020 annual results. Paul Gannon, our CFO will review the Company’s financial performance for the period. Steve Prince and I will talk you through some of the detail of the portfolio performance, and Steve will spend time discussing the outlook. As usual, we will conclude with questions both taken electronically via our web based system at the end of the presentation, as well as those received since the last update. The PDF of the slides are now available to download on our website. And if you are on the webcast directly from the webcast portal. Before I go into the presentation, in just some reminders, first Tetragon’s shares subject to restrictions on ownership by U.S. persons, and are not intended for European retail investors. And these are described in some detail on our website. Tetragon anticipate that it is typical investors will be institutional and professional investors who wish to invest for the long-term in a capital appreciation and income producing investment. These investors should have experience in investing in financial markets and collective investment undertakings and can be capable themselves of evaluating the merits and risks of Tetragon’s shares. And they should have sufficient resources both to invest in potentially illiquid securities, and to be able to bear any losses, which may equal the whole amount invested that may result from the investment. I would like to remind everyone that the following may contain forward-looking comments, which includes statements regarding the intentions, beliefs or current expectations concerning performance and financial condition on the products and markets in which Tetragon invests. Our performance may change materially as a result of various possible events or factors. So, with that I would like to pass over to Paul.
Paul Gannon: Thanks, Paddy. So as a reminder, Tetragon continues to focus on three main metrics. We look at how value is being created for NAV per share total return. We also look at investment returns that measured as a return on equity or ROE. And finally, we monitor how value is being returned to shareholders through distributions. The fully diluted NAV per share was $26.57 as of 31, December, 2020. After adjusting for dividends reinvested at the NAV, the NAV per share total return for the year was 9.5%, which compares to 13.6% in 2019. For monitoring investment returns as in previous years, we use an ROE calculation, which in 2020 was up 7.6%. Net of all fees and expenses. With reference to that target. The average ROE we achieved since IPO is now 12.1% which is within our target range of 10% to 15% per annum. Later on in the call we will give more color as to how the specific asset classes contributed to the return this year. Finally moving on to the last metric distributions. As a reminder during the first half of the year Tetragon modified its dividend and capital return policy to remove any specific dividend target payout ratio reference to normalized earnings. Tetragon declared a dividend of $0.10 for the fourth quarter, which represents a dividend of $0.40 for the year. Based on the earned share price of $9 50 the last four quarters dividend represents a yield of approximately 4.2%. In addition, during Q4 the management took advantage of the funds widened discount to NAV to repurchase the further $25 million of shares, which in addition to the $25 million purchased in H1 was accretive to NAV per share by $0.92. Finally, now on to the NAV bridge. This breaks down into its component parts, the growth of Tetragon free diluted NAV per share from $24.76 at the end of 2019 to $26.57 per share at the end of December 2022. So going through the key elements investment income increased NAV per share by $3.20 operating expenses management and incentive fees reduced the NAV per share by $1.22 with a further $0.07 per share result reduction due to interest expense. On the capital side gross dividends reduced NAV per share by $0.49. There was a net dilution of $0.53 per share, which is labeled as other share dilution. This bucket primarily reflects the impact of dilution from stock dividends, plus the additional recognition of equity based compensation shares. And finally, the impact of the $50 million share buyback across the year resulted in an accretion to NAV per share of $0.92. With that, I will now hand over to Paddy.
Paddy Dear: Thanks Paul. As on previous calls, I would like to put the Company’s performance in the context of the long-term. Tetragon began trading in 2005 and became a public company in April 2007. Total fund has approximately 15-years of trading history. And this chart shows the NAV per share total return which is the top line, the share price total return which is the dashed line and the chart also includes equity indices, the MSCI all share and the footsie all share, and it includes Tetragon total rate of LIBOR plus 2.65%. As you can see Tetragon has returned 332% since IPO on a NAV total return basis. So over a fourfold increase in the value since IPO. The last 12-months return of 7.6% on a return on equity basis, compared with minus 9.7% for the footsie all share, and plus 16.8% for the MSCI world index. And that is shown by the huge difference between those two indices really, due to the COVID disruption in the world, there has been great disparity in the performance of various sectors, and what is often talked about as the K-shape recovery, some sectors gaining good growth, while other companies and sectors are struggling to survive. Moving on next slide the continuing theme here is looking at the long-term for a moment. And here are some more performance metrics. Our return on equity investment return target, as we have stated is 10% to 15% per annum over the cycles. The average return since IPO is 12.1%. As Paul has shown on his slides of our key performance indicators. And notwithstanding the last few months rise in 10-year yields the risk free interest rates remain very low globally. The implication being that we should not expect all risk assets to return at the lower end of long-term expectations. And that is with respect to Tetragon this means ex ante that our return expectations are at the bottom end and possibly even below the 10% to 15% range. The last figure on this table shows that nearly 33% of the public says around by principles of the investment manager and employees of TFG Asset Management. We believe, this is a very important metric as it demonstrates a strong belief in what we do, as well as a strong alignment of interest between the manager, TFG asset management employees, and obviously Tetragon shareholders. This next slide shows the composition of Tetragon's assets. So looking at the breakdown of the $2.5 billion of NAV at year end, and what the color discs show is a percentage breakdown in each asset class or strategy as of the 31, December, 2020, and that is on the right, and then compares that with the year end 2019 on the left. So a few notable changes that I would highlight for you. First is TFG Asset Management, currently 34%, and that was up from 31% at the end of 2019, and bear in mind that is after over a $100 million of distributions out of the asset class, and that is due to strong growth that we will talk about. Secondly, bank loans, in this case, there are 11% of the portfolio and that is a decline from 14% at the end of 2019. Again, we will talk about the details, but small amount of losses, but also some distributions and limited reinvestments. Real estate, similarly down a little, currently 6% down from 9%. And again, similarly, we had some realizations about $65 million of distributions during the year, and we only made limited new investments about $23 million in the new investments. The other two areas to highlight one is private equity and venture capital currently 16%, and that is up from 12%. A lot of that is due to performance of Hawke's Point in that front one, but also we made put out more capital in some LP investments. And lastly, just to note on cash, a small change but notable down from 2% to zero. And again, we will talk a little bit more of that when we get on talking about the full asset. So moving on, let's now move to discuss the year's performance and more detail. Then NAV bridge the Paul showed was a high-level overview of NAV per share. And what this table does is it shows the breakdown of the composition of Tetragon NAV at year end 2020 and compares that back to 2019 for the major asset classes, and it shows the factors contributing to the changes in NAV. Thus, this table shows investment performance plus capital flows, and so ties back to that change in that. As you can see from the bottom row of the table, the aggregate investment performance labeled gains and losses generated the gross profits of the year or positive $306.4 million. By way of reminder, that compares to a loss of about $44 million at the half year. So it just demonstrates the very strong second half that Tetragon had in 2020. Specifically, as an overview TFG Asset Management, which is a reminder is our private equity holdings in asset management companies had gains of $179.6 million. Our environment for our asset management businesses after the initial COVID shock in March would not too badly affected, and many of these businesses continued to operate well with all the staff remote working, and in most cases, the assets continue to perform well and the businesses continue to aggregate and increase that AUM. Event driven equities converts and other hedge fund strategy made $43.5 million. The environment for our strategies was not surprisingly much more constructive in the second half than it was in the first half. Bank loans which are predominantly our investment in CLO generated loss of 25.2 million. And again, the environment in the second half was certainly better than the first half. But still overall losses for the year associated with not surprisingly, some changes to forward looking at assumptions, including discount rates. Real estate loss 12.4 million for the year. So actually very similar to where we were first off stage. Private equity and venture capital made 73 million on the year, as I mentioned, a very strong performance from Hawks Points from one and a reasonable environment for our other private equity and venture capital strategies. Other equities gained 45.8 million for the year. And again, a very positive market backdrop, particularly in the second half. So now what I would like to do is sort of if you will drill down on each of those categories, and let's start with TFG asset management. And for that over to Steve.
Steve Prince: Thanks, Paddy. Our private equity investments and asset management companies through TFG Asset Management represented the largest asset class in the portfolio at the end of the year. And as Patty said, this asset class produced total gains of roughly $180 million, driven primarily by Equitix. Equitix produce gains of 166.7 million for the year equinox raised over £1.4 billion of investment capital during 2020. And its assets under management have now more than tripled in the past four years. During the year Equitix refinanced its £125 million of existing debt with £187 million of new debt. It enhanced its cost of borrowing and the maturity of the debt. Well, gains amongst our other asset managers were more modest, I would like to share a few of their notable developments. At BentallGreenOak they grew assets by 3.6 billion, and the Company’s EBITDA exceeded its pre-COVID 2020 business. LCM 31 was priced in late 2020, following the slight pause in CLO issuance due to the COVID pandemic. The AAA notes in this structure were priced 120 basis points over LIBOR which tied only to other managers for the tightest plant and a post COVID structure. Both the polygon convertible opportunity fund and the European equity opportunity fund delivered strong performance for the year. Tetra and Credit Partners launched an open ended hedge fund in May 2020 to take advantage of dislocations and CLO debt. In addition, Tetragon Credit Partners TCI 3 vehicle deployed the remaining 17% of its un-invested capital during the first half of 2020. The Hawks Point team experienced strong results in their two investments during the year, and they aim to raise third party capital in 2021. Band into our partners at a good pace of capital deployment during the year. And lastly, we are very, very excited about the launch of contingency capital A global asset management business that will sponsor and manage litigation finance related investment funds. At the end of 2020 TFG asset management's EBITDA was $75.2 million, which is 26% higher than 2019. Higher management fees due to continued AUM growth and higher performance and success fees due to better performance by the funds were the driving factors for this increase. Management fees increased by 13% year-on-year that was driven by Equitix Tetragon credit partners and LCM. performance and success fees grew by nearly $30 million, driven primarily by increases in performance fee income earned by the fall polygon funds, as well as increased performance and success fees at Equitix. Operating expenses increased by 21.5 million year-on-year due in part to Equitix and in part due to higher performance related bonuses, which are of course driven by business lines where performance fees grew significantly. Paddy is now going to go over our hedge fund investments.
Paddy Dear: Thanks Steve Tetragon invest in event driven equities, convertible bonds, and some other strategies through hedge funds. And the majority of these are through polygon managed hedge funds. Our investment in the Polygon European event driven strategies made $35.3 million across EOS ELB which is the long biased version and the global equity fund. And the equity funds gained from several events in the second half so as you remember, they with losses of the first half, they recoup those and more and had a very strong second half of the year. Our investment in the Polygon convertible bond fund made $15 million for us during the year. And I would say that convertibles benefited all year from good positioning and increased levels of volatility and markets. So another very healthy year for the convertible bond fund. And other piece of note just during the year we redeemed from QT and in Q4 made a small new investment of $3 million in a third party, external hedge fund. Moving on to bank loans, Tetragon predominantly invest in bank loans through CLOs and predominantly by taking the majority position in equity conscious of CLOs. Tetragon’s investments, especially shown here between LCM deals fund TCI-2 and TCI-3 non-LCM deals, and then explore small exposure the TCP opportunity Fund. As you can see an aggregate or bank loan exposure, as I have said recorded a loss of $25.2 million for the full-year. I think 2020 was a relatively tough year for the U.S. loan market. Second half showed some recovery from half one. But as I say we still recorded a loss for the year. The losses were driven by changes to fair value. And these are primarily the result of the erosion of certain CLO test cushions and loan collateral quality, as well as, as I said the recalibration of certain model assumptions and including the discount rates. It is worth noting that during the year tetragon received $55 million in cash distributions from these investments. To remind you Tetragon's commitment TCI-2 is $70 million, which is fully funded. Tetragon's commitment TCI-3 is $85.9 million, which is also fully funded. And the last piece there is Tetragon Credit Partners launched during the year, the opportunity Fund looking to monetize dislocations in particularly CLO mid tranches, and we have a small exposure of circa five million to an investment in that strategy. Moving on, we have real estate. And as a reminder, Tetragon held most of its investments in real estate through BentallGreenOak managed funds and co investment vehicles. And the majority of these are private equity style funds concentrating on opportunistic investments. And they tend to target middle market opportunities in the U.S., Europe and Asia. And they are where BentallGreenOak believes it can increase in value and produce positive unlevered returns by sourcing off market opportunities where it sees pricing discounts and market inefficiencies. During the year, as I have said the total of these we had losses of $12.4 million for the year. And actually that is little change from the first half. Over the year to reiterate we made $23 million of new investments in real estate funds, and we receive $65 million of distributions from funds during the year. So a little bit of note on the various regions Europe, both funds and co investments generated that first half profit. As I mentioned before, this was from realized gains falling disposal of logistics assets in Europe. The U.S. funds and co-investments generated a net loss, and that was primarily driven by downward valuation of our one or two buildings, particularly in New York. And in Asia, we had small gains on some sales in Asia. And lastly, just as an addition to our commercial real estate through BentallGreenOak, we also have investments in commercial farmland in Paraguay managed by Scimitar, who are a specialist manager in South American farmland. And during 2020, the farm lands were revalued, this was in the first half of the year. So it is not new information reduced the market value by $3.8 million. So with that, let me hand back to Steve.
Steve Prince: Thanks, Paddy. Tetragon's private equity and venture capital investments are split into the following sub categories. Investments managed by Hawke's Point, investments managed by Banyan Square Partners, other funds and co-investments, where Tetragon invest in a non-affiliated fund as a limited partner or in a special purpose vehicle as a co-investor, and comprising direct private equity investments on the balance sheet, including venture capital investments. This segment generated net income of $73 million during the year. Tetragon's investment into mining finance via vehicle managed by Hawke's Point generated $53.2 million of net income during the year, that was driven by substantial project development and corporate progress in two Australian gold bonds in which Hawke's Point is a cornerstone investor. One of these projects commence production in 2020, we expect the other project to come online this year. Tetragon's investment in Banyan Square's fund generated at a loss of $4.8 million, due to exposure to an investment in a travel industry.  At the end of the year, Tetragon had a 2% allocation to investments in private equity funds and co-investment vehicles in Europe and North America. Investment in direct private equity stakes, including venture capital generated net income of $24.6 million during the year. This category currently holds the investment in Ripple Labs. At the point of making its investment in Ripple Labs in 2019, Tetrgon bargained the option to redeem its investment, if the SEC determined that XRP is a security on a going forward basis. Given recent actions by the SEC, Tetragon has re-exercised that rate, which Ripple Labs is contesting in Delaware chance to record. Moving on to the other equities and credit category, as well as cash. Our direct balance sheet investments and the other equities in credit category produce gains of $45.8 million during the year. Other are other equities bucket generated gain of $47.8 million. These investments comprise European and U.S. listed public equities focused on technology, biotech and financial services sectors. The other credit bucket generated a loss of $2 million during the year. And lastly, on cash catcher. Tetragon's net cash balance, which is cash adjusted for known accruals in liabilities, short term and long dated was negative $13 million as of 31, December, 2020. As previously mentioned in July, 2020 Tetragon obtained a 10-year, $250 million revolving credit facility, which replaced the previous shorter dated facility of $150 million, and also lowered its annual cost as a result. As at 31, December, 2020, a $100 million of this facility was drawn and this liability has been incorporated into the net cash balance calculation. The company actively manages its cash levels to cover future commitments, and to enable it to capitalize on opportunistic investments and new business opportunities. During 2020 Tetragon used 194.8 million of cash to make investments 63.5 million in cash to repurchase shares, and 30.7 to pay dividends. 342.4 million in cash was received as distributions and proceeds from the sale of investments. Future cash commitments are approximately $218 million comprising hard investment commitments. Those include BentallGreenOak, funds of 62.9, private equity funds of 29.7, and a contingency capital loan of 12.5 million. Then we have soft commitments to Banyan Square fund 163.8 million and the contingency capital fund of 50 million. The following table lays out some of our expectations for the overall portfolio resulting from these cash flows. So, I'm going to go through a few of our expectations. But it is always worth pointing out that one of our advantages is our ability to be opportunistic as it relates to investing and what we see as the most compelling investment opportunities. As you are aware, we launched contingency capital with Brandon Baer at the end of 2020. So, we are expecting to invest there. Beyond that TFG Asset Management remains the largest unknown in terms of cash requirements. Because we remain very opportunistic as it relates to deals. We expect our event driven equity exposure and our exposure to our convertible strategy to remain relatively stable. Our pre-crisis CLOs are now fully amortized. But we expect to invest in CLOs via various Tetragon credit partners vehicles, while at the same time receiving cash back from some of their initial funds. While we have some commitments to BentallGreenOak funds, we would also expect some of our existing investments to continue distributing capital. So, on the whole, we would expect our real estate investments to be relatively stable over the next 12-months. In private equity, we would expect those allocations to grow overtime, there is a few small additional LP commitments we have yet to fund. And we expect talked point and Banyan Square allocations to continue to grow. The other equities and credit bucket is a similar one to TFG asset management. We expect to continue to invest in these opportunities, but the timing of those investments is less certain. And lastly, in the new asset classes, we are hopeful that in this current environment, there'll be additional allocations will be making to these new asset classes. So, now I'm going to turn it back to Paddy, who is going to kick-off the Q&A.
A - Paddy Dear: Great, thanks, Steve. Thank you, Paul. And also, thank you, everyone, for your questions. Well, we certainly have more questions than I think I will be able to read out. So, apologies if I don't get to your questions specifically. But what I have tried to do is put them into themes. I will read up hopefully to cover everything on that particular theme, and then answer them. But we really do appreciate all the questions. I think it is great to see so much interest. So, first theme I'm going to tackle is on Ripple and our investment in Ripple Labs. So firstly, let me just go to the questions. First one is in the monthly factsheet as published a day, I was very surprised to read that you value Tetragon holding and Ripple Labs, the Series C at 172.5 million. I sincerely hope that this is not a misrepresentation and that this figure reflects the current fair market value. Second is why would a Ripple investor not show their support for Ripple? Why have they lost confidence with them? All they have seen is the SEC allegations. What about Ripples point of view? Thirdly, how is Ripple position valued? Fourth, what is the investment thesis for investing in Ripple? Please give a bit of background as to why the investment was made in the first place, as it seems a risky and speculative and a bit of style drift compared to the rest of the portfolio. A fifth question is, how is what Tetragon holds, which is a Ceries C, different from the security quoted on Bloomberg? And the sixth one is, please provide an update on the valuation of the investment in Ripple XRP. And hopefully, that captures sort of all the themes on Ripple. So not surprisingly, I think, a few questions here. And I think we can discuss this investment generally. And then I will pass over at the end of Paul who can talk about valuation. But as a first point, I think most of you know, we don't go into detail on current positions in the portfolio. And that is sort of very standard practice. However, and I think I have said this before, well I did when we made the investment, I think the Ripple investment, somehow it sort of exemplifies some of our key investment tenants. We like obviously, doing interesting deals, we very much like what we would think of as idiosyncratic returns and we like to secure the investment structures and protect our downside. And I think it is that last point, so securing investment structures. And, as Steve just mentioned, and you may know already, we recently initiated this action in Delaware, which is an exercise redemption, right with respect to our investment in Ripple. So when we invested in the Series fee stock in December 2019, we bargain for the right to redeem our investment if the SEC determined that XRP is a security. Now, we were well aware at the time that the SEC was investigating XRP status. And we specifically bargained for that early redemption right to protect us from what we thought could be short or medium or long-term uncertainties for Ripple. And we thought that that any determination like that would create or potentially create those uncertainties. And what we are now seeking to do is exercise that right, given the possibility of an SEC determination, and the resulting uncertainties have now become reality. Now, a couple of notes on Ripples cast position, and XRP's valuation. At the time we invested versus today, just to give you sort of a benchmark. I think when we invested in the Series C Ripple had something like approximately $230 million of cash on the balance sheet. At the end of 2020, they had $330 million of cash on the balance sheet. And they have recently stated that as of that statement, recently, they had $360 million of cash on the balance sheet. So obviously, from a cash perspective substantial improvement from when we made the investment. The other thing of relevance is XRP, the market cap of XRP, when we made our Series c investment was $10 billion to 12 billion. And currently, although I think we can all accept that the crypto currencies are very volatile, but currently, that market cap is in the range of $25 billion to $35 billion, so substantial uplift again in terms of value of XRP. It is worth noting to address one of these questions that what we are in is a Series C security. It is not a publicly traded instrument, and indeed ripple labs itself is not publicly traded company. So I think the person that was referring to Bloomberg is probably looking at XRP, which is a publicly traded digital asset either crypto currency that ripple created. So with that as backdrop, let me just pass over to Paul to talk about the valuation.
Paul Gannon: Sure. Fairly straight forward Ripple's valued using a discounted cash flow approach. The future contractual cash flows are discounted at 15.5%
Steve Prince: Thanks. So next, as you might imagine, a lot of questions on dividends and share repurchases and apologies. Again, I'm not going to read every one, but there are a lot and I will we will try and tackle, tackle them. So I'm writing to request that our dividends reinstated. I bought these as dividend paying shares. When we paid a dividend, we still have a shareholding receive future dividends. The tender is not a return to shareholders. It is simply a share sale. And if you sell at a lower price, then you paid, you have a negative return. If directors can take fees based on NAV, we should be receiving dividends based on NAV. Next as a longish term, Tetragon holder, or rather disappointed with the dividend cut or other, the cut with perhaps understandable with the growth uncertainty of COVID. But why has the dividend not been reinstated? Secondly, with the NAV seemingly going very well surely buyback through an order. Well, beyond the occasional $25 million tender. The company has apparently done well in 2020, according to the company announcement and presentation growing NAV in 2020, by just below 10%. How can the Madison justify cutting the dividend to shareholders by almost 50% or more while shareholders suffered both heavy capital and income decreases? Why should the management have their fees increasing with NAV isn't this double standards? Whereas the alignment of benefit to the owners of the company and the management, I support a substantial dividend increase, tossing the dividends, the right thing to do a year ago, but now I think substantial increase would be more possible given the current circumstances. I have bought the shares constantly over the last five-years, I have also recommended them to investment associates and friends. Who have bought shares. You have been excellent stewards of our investment. You have also done a great job in terms of investment relations and marketing. Your challenge is the share price stands at a very high discount. So now there is a lack of confidence among potential buyers, perhaps the reinstatement of the dividend up to $0.72 a share. I think if shareholders consents a investment in the alternative investment arena with a healthy dividend that represents an enticing opportunity next, what are the chances of some reinstatement of the $0.40 dividend on our $26 of NAV it doesn't feel a great reward for the shareholder. So those were semantic on dividend and here are some on share repurchases. What is the point of the company making another investment other than buying back its own shares in the market. For example, Tetragon's shares is trading at $10, but it is NAV is $26. Have you ever thought about reinstating the share buyback program instead of tenders. Other investment trusts such as apex and India ICG achieve a more limited discount to NAV through buybacks and large dividends tend to go and does not rightly or wrongly it is clear from the discount that some investors believe that this is because whilst in the very long-term, the Board is concerned about the share price. Over horizon of even a few years the Board has a conflict of interest, and it is concerned with maximizing its management fee. To counter this perception with the Board adopted far more aggressive dividend and buyback policy. Tetragon shares down close to the greatest discount to NAV and the firm's history while you are not buying the shares aggressively and enhancing shareholder value by doing so? Do you believe you can deploy the available funds with a higher return to shareholders and by buying back your stock? If so, please take us through the math of your return assumptions. The last one just to read out, why does the investment manager not buy back shares as the standard a huge discount to NAV? The investment manager has other opportunities that offer bigger returns and 100% for immediate risk free return. Okay, that was said I haven't read them all. But I think it gives you a flavor of the theme there on both dividends and share buybacks. And it is no surprise, particularly given this year, particularly given the discount, and that there are lots of questions on dividends and share buybacks. And I tackled them together, because that is the way that we look at it. They are both forms of returning value to investors. And I'm actually going to take a bit more time on this just to explain the dividend and capital return policy, because that is the lens through which we look at making these decisions. So, what Tetragon says that it seeks to return value to its shareholders, including through dividends and share repurchases. And Tetragon’s Investment Managers recommendation with respect to capital returns may be informed by a variety of considerations. And we have five of these. They include the expected sustainability of the Company’s cash generation capacity, and that is both short and medium, the current and anticipated performance of the company. Thirdly, the current unanticipated operating and economic environment. Fourthly, other potential uses of cash raising rate, sorry, ranging from preservation of the Company’s investments, and financial position to other investment opportunities. And lastly, Tetragon’s share surprise. And dividends are obviously, income buybacks of capital and obviously, different shareholders with different positions have different preferences for both. But just to simplify, we compare new investments, dividends and buybacks at all times. And I think the point I would want to stress is, it is the balance between those that we think is very important. We do want to invest for the long-term, especially at TFG Asset Management where we believe we can create meaningful long-term value, but we also want to return value to investors on an ongoing basis. So, where are we currently? Well, we have a dividend of $0.10 per quarter. So just looking at 2020. That gives us a 4% yield based off today's price of $10 a share. But actually looking at 2020 in more detail. It I think a lot of people pointed out that 2020 did present one of the more challenging investment environments. I mean, certainly since probably the global financial crisis of 2008 and 2009. We also in the first half of the year saw a very meaningful decline in Tetragon’s share price. And that was along with a lot of other publicly quoted companies. And that also threw up a host of investment opportunities elsewhere, that emphasize the flexibility, if you will, of being able to deploy cash at the right time. We also happen to be in the same period, launching several new businesses and products at TFG Asset Management each of which requires capital I means all affect the balance of the considerations that I have been talking about. And then there are just to put it in perspective, in those probably unprecedented environment Tetragon actually return to shareholders about the same basic amount of value from $90 million across the dividend. And the share repurchase is that $90 million is about the same as the average of the previous two years. And we are pretty proud of that, that we have managed to do that. The fact we bought back $50 million of shares, I think, reflects the impact of the share price in balancing of the two. So I bring in that 0.5 on how we think about it. But also, if that is the short term, I would encourage everyone to see it in the broader context. But IPO, the company had approximately $1.3 billion of NAV. As of the end of 2020, that NAV has grown to $2.5 billion. And over that time, about $740 million has been distributed in dividends and about $710 million has been spent on buybacks. So that is $1.5 billion of shareholder distributions versus an IPO NAV of $1.3 billion. So I think that just demonstrates that we believe strongly in both dividends and buybacks. But I would stress that, sadly, neither of these are a panacea for the wider issue of the discount to NAV. And not surprisingly, we have some questions on that, that I will get to in a moment. But anyway, I know that is quite a long answer. But hopefully that tackles a lot of the various and important questions on dividends and buybacks. The next theme I have here is TFG Asset Management. So a few questions here. And maybe I will just sort of take two or three just to give you a theme. The first one is your outline your long-term strategy for TFG Asset Management in Q3 2015. citing an intention to IPO and lift the shares in the next three to five-years. Given that it is now more than five-years since that strategy was announced. Pete, would you provide some clarity on the strategy for TFG Asset Management going forward? Is there still an intention to IPO or list? And if so, in what timeframe? And what milestones et cetera would you expect to be met before you would consider the business ready for public markets? The second similarly is what is the expected timing for the IPO of TFG Asset Management? Are you still considering this? And a third one specifically to equities? Are there any plans for an IPO of equities valuations are currently sky high for these types of investments. And there is also plenty of available capital in the market. So I think these are all very good questions. And I wanted to give you a bit of background to make sure everyone's on the same page, I guess. So some of you will know, but just to reiterate. Tetragon and the independent directors have determined that TFG Asset Management as a unified business could enhance the value of each individual investment and entity as a whole through basically through sharing strategic direction, operating infrastructure, business management functions, such as risk management, Investor Relations, financial control, technology, compliance, legal et cetera. While what we want to do is at the same time, give entrepreneurial independence to the managers of the underlying businesses. And it is very much part of our investment strategy to continue to grow TFG Asset Management as a diversified alternative asset management business with a view to possible IPO and listing per shares for alternatives. So with that as a backdrop to answer the question specifically, I would note that notwithstanding its continued growth TFG asset management is currently, we believe at a smaller scale than the large listed multi-strategy alternative asset managements. And there were probably three key elements among others for further growth towards a successful IPO. Firstly simply assets under management. Secondly, is what that hopes to generate, which is EBITDA, and in each case you need to look not just the amount of EBITDA, but the sustainability, the blend of management fees, performance fees, diversification, growth expectations, et cetera. And the third is about the relative stages of development of the various businesses on the platform. And that is to say, how many multiple stable income streams is one looking at? So when we look at the business currently, I would say the BentallGreenOak LCM are certainly the more mature of the businesses we own. Equitex And Polygon slightly less so. And then the four other businesses Contingency Capital, Hawke's Point, Tetragon Credit Partners and Banyan Square are all embarrass different ways relatively early in their development. And therefore, at this point in the development, these three elements have not yet been satisfied for TFG Asset Management. If TFG asset management continues to grow and say EBITDA, which obviously, we hope it will. Then obviously those circumstances could change and they might result at the right valuation in either an IPO or one or more private transactions. And these could either be for the whole of TFG Asset Management or indeed for individual businesses, such as the merger acquisition that we, that we did with GreenOak being partially acquired by Sunlife in 2019. So again, slightly long answer, but I want everyone to be aware that that yes, we are pursuing that strategy. We are on the path, but there are lots of things we need to do. And there were lots of different ways we could, we could help create value and or monetize over the coming years. A much more straightforward question here, how much debt is there an equity index? And the answer is $187 million. I think Steve gave that in the presentation and I'm pretty sure it is in the shareholder letter. So that's easy to check. We have what is the great degree of leverage for each section of the portfolio? So this obviously is rather more generic than just TFG asset management specifically in difficult wants, I mean, we are not going to go into detail and we certainly don't disclose the detail of leverage at the various different parts of the portfolio. And not surprisingly, as you can imagine, it varies enormously by asset class or investment strategy, but to give you some idea, you know, one end of the spectrum, you have got CLS where if you own the equity tranche, you're going to be somewhere between 10 to 12 times levered. And at the other end of the spectrum, most private equity positions are going to be with zero back rates. So it is huge disparity depending on the position. What we concentrate on is that at the position or strategy level, that we don't have recourse debt back to the parent company and that the debt levels are appropriate for the asset. In question, depending on its liquidity, its volatility expected return, et cetera. And I'm going to go to valuation questions. So, obviously Paul is going to tackle these but maybe if I just sort of ask a few of the questions, and then I will pass over to Paul to answer. The first read. Your approach is the market multiple approach, applies the multiple considers to be appropriate and reasonable indicator of value to certain metrics of the business, such as earnings or assets under management to derive the equity value. The multiple implied needs cases derive by considering the multiples of quoted comparable companies. The multiple has been adjusted to ensure that the appropriate, appropriately reflects the specific business being valued, considering its business activities, geography size, competitive position in the market risk profile earnings growth and profits of the business. Have you any details over what multiples are being applied? And yes, well, maybe Paul why don't I pass over to you to answer that that question.
Paul Gannon: Sure. So the valuation of the TFG Asset Management managers actually uses a variety of methodologies. And we set these out in a disclosure note, in the audited financial statements for each of the material businesses, essentially LCM utilizes a price over a un-multiple, as well as a discounted cash flow, but most of the other businesses presumably use a discounted cash flow. But you can find all the details there in note four.
Paddy Dear: Thanks. Okay, a couple of questions on fees. First, is seems that the investment manager fees are now higher than dividends paid out? Is there any justification for this, given that when the company was set up, the ratio was over four to one and benefit of shareholders? Well, few people have looked at this and talk about dividends and fees. And personally, I don't see there is any basis for comparing dividends with fees. There is no relationship between the two and nor should that be in my view, simply if no dividend is paid the value to shareholders in increasing and accrues in the NAV per share. And if a dividend is paid, it is income to the investor but it decreases the NAV per share. So, one is a capital effect and one is income. That is the only effect of a dividend and it is not does not bear any relation in my mind to the fee structure. The second question is it says I believe that TFM and that is Tetragon’s Manager paid fees of 19.3 million to TFG Asset Management in 2019. In the return for use of TFG Asset Management personnel and other services. Does TFG Asset Management make it make a profit on these fees? Should investors be concerned the profits are inflated by these fees? And should leading from that should investors be concerned that the valuation of TFG Asset Management has been flattered by the capitalist capitalization of these earnings. So, I think that is really one for all find the path that I would pull.
Paul Gannon: Yes, so firstly, the questioner is correct in the TFM was allocated costs of 19.3 million in 2019. And you will see in the 2020 annual report, this is 18.1 million in 2020. TFG Asset Management does not make a profit on these cost allocations, which are recharged at cost. Therefore, it follows that the TFG Asset Management does not make or show a profit on them. In fact, when you look at the TFG Asset Management pro forma EBITDA on Page 70 of the annual report which was $75.2 million in 2020. And the recharge and the associated expenses are not included at all, in any of the line items on the basis that we would simply close up income and expenses by the same amounts and not be useful for the reader.
Paddy Dear: Thanks. And the last theme I'm going to tackle here, which would surprise many people is probably the most common theme is that of the discount to NAV that the shares trade on. So firstly, just to give you a flavor of some of the questions. First one, in spite of various steps taken over the last several years, several tenders, enhanced analysts, broker coverage, SFM listing and increased investor engagement, the discount is now pretty much as wide as it ever has been. Having already narrowed slightly since Q1 last year. If management has committed to knowing the discount or said previously short, it is time to try something different, more dramatic to address it. All the above plus continued solid NAV performance is clearly not working. Secondly, I have been a shareholder for many years, surely have the right to feel aggrieved that the discount is as wide as ever. You have repeatedly stated that long-term NAV performance is all that matters in the long-term. I have been in the shares long-term and the long-term NAV performance hasn't benefited me in the slightest. Surely at some point the Board needs to acknowledge that shareholders are better and that a concerted policy at addressing the discount is needed. Would you agree? And if so what measures you are going to put in place to address this? Next one to what would management describe the largest discount to NAV on which TFT shares trade? And what is management's approach to reducing the extreme discount NAV on which the non-averting shares trade? It seems to me that there are these five clear ways that the discount could be reduced or aggressive buybacks in franchising the non-voting shares, the reduction in the high management and incentive fees paid to TFM alternatively, would move into the internally managed structure. And lastly, you could liquidate the business to realize its NAV. But clearly I would not advocate this, as I think would be against shareholders best interest given the group's good performance track record. I bought into the stock to benefit from TFT's investment expertise in uncorrelated asset classes, as well in the hope for narrowing in the discount. Now, there are more questions on this, but I think back gives you I think everyone understand the basis of the question. And all of them obviously address the discount in various different ways. And having met with many investors and potential investors over the years, let me give you some of the reasons that they give to us. And I say this, because a lot of people tell me that the discount is due to one thing and they know what it is. And they say it is complexity. You are far too complex. No one will ever understand what you do, and therefore they can't own your shares. Or they say, what, the market wants a pure play. The market doesn't want a diversified business. It wants an exposure to wind farms, or solar farms or hedge funds, but not this complexity of things. They say it is because you own private assets, and no one knows how to value them. No one trusts them. It is because you have got all your assets are difficult to value. It is because you are not for retail and therefore can't be owned by a lot of the people that would want to buy these sorts of funds, and therefore it is not on platforms. It is because your fees are too high. It is because you have non-voting shares. You just need to change that. Some people ironically say it will trade at a discount because it always has. Others say you have got too many U.S. hedge funds and that is the share overhang. As we alluded to in the question, someone say, Well, if you didn't have an external manager, you can solve the problem. And I think some of our assets, you know some people take a gain to CLOs or click their current fees or legal assets or other things that there is always something potentially that someone doesn’t like. And that is what we get told. I’m afraid what I believe is that there is no single reason. I think all of these are real, seem to be real and both of those actually matter, but I don’t believe there is a single reason. And therefore more to the point what are we doing about the discount. Well I think the first thing to realize is that it is a long-term issue, there is no simple solution, there is no silver bullet and that so the solution is a long-term one as well. It is most basic and I don’t need to be trying but we need to attract more buyers and sellers, we have to continue to perform that is critical, it is our primary focus it is a [indiscernible] that we should be doing what we do, we have to continue to perform and we have to do good job of simplifying how we explain the business but not dummying it down so explain why, explain how, explain what we do. Get people comfortable with that. And that is not easy given the breadth of what we do, as you can tell from the questions we receive. Importantly we believe we need to explain why we hope we are creating so many of that to some degree has a repeatability about it. For TSG asset management, we believe have some repeatable learnings. Our focuses on idea sourcing so that we continue to increase the quality of the ideas that we see every year. And obviously that gives the ability, hopefully the ability to make money. We need to educate the market continually, and we do that through our joint brokers at JP Morgan and Stiefel. And obviously, we have employed Edison to help outreach as well. I think we need to continue with the quality and improving the quality of our reporting, our annual report, our monthly website. We have talked a lot about dividends and buybacks. I think they are helpful, but my personal opinion is that then not the panacea. And I think we need to continue to grow while we are continuing to grow insider ownership. As I mentioned, about 33% of the company shares are owned by those of us active within the business. It demonstrates and continues to demonstrate an ongoing belief in what we do. But if I drill it down to one thing and again, I apologize cause I don't mean to be tried, but it is most simple, we have to focus on attracting more buyers than sellers. And as an interesting point, over the last two to three years, we believe that about 25% of the company has been sold by some North American investors. And those of you that track they have shoveled a register we will be able to see that that given the size of Tetragon, that is a lot of value that has slowed out of those investors. And it is very difficult for the shares to perform with that as an overhang. So whilst there has obviously been commensurate buying and that's making in the UK and obviously through, by buybacks as well, it is still a lot to absorb. And I think there is a, there is a chance that, that we get through that overhang at sometime soon and that could indeed make a difference. So lot of things there to think about with reference to the discount, but not withstanding every investor absolutely entitled their opinion. But I would stress, there is no silver bullet for this. It is about long-term activity and attracting people to buy the stock, and that takes multiple different things that we need to do. I apologize. I mean I haven’t answered everyone's question, absolutely. But I know we are running just at the hour, just over the hour, and hopefully even the questions I didn't get to read out, I tackled at least the themes that were that we had questions on. We have produced the annual report and obviously, there is a lot of lot of information in depth in there. And welcome any feedback and, and anything that people would like to see either presented differently or always have clarity in the business. But anyway, as always, many thanks, we appreciate your time, listening today, and thank you very much indeed.
Operator: This now completes our presentation. Thank you all for attending. You may now disconnect.